Operator: Good day and welcome to the Provident Financial Services Inc. First Quarter Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Leonard Gleason, Investor Relations Officer. Please go ahead.
Leonard Gleason: Thank you, Andrew. Good morning ladies and gentlemen. Thank you for joining us on this morning. The presenters for our first quarter earnings call are Chris Martin, Chairman, President and CEO; and Tom Lyons, our Executive Vice President and CFO. Before beginning their review of our financial results, we ask that you please take note of our standard caution as to any forward-looking statements that may be made during the course of today’s call. Our full disclaimer can be found in the text of this morning's earnings release, which may be obtained by accessing the Investor Relations page on our Web site, www.providentnj.com Now I'm pleased to introduce Chris Martin, who will offer his perspective on our first quarter’s financial results. Chris?
Chris Martin: Thanks, Len. Good morning everyone. We appreciate your participation on today’s call. First quarter earnings of $0.32 per share, they exceeded the same quarter last year by 6.7%. Our return on average assets was 94 basis points and we achieved the return on average tangible equity of about 10.67%. Net interest income of 61.9 million exceeded the same period last year by 12.2% and our provision for loan losses was reflective of the improvement in asset quality and the resolution of a number of smaller credits. With our earnings release this morning, we announced continued cash dividend of $0.16 per share. Loan originations during the quarter were $349 million, but overall portfolio growth was muted due to several large commercial payoffs. Volumes in the pipeline were impacted by our credit and pricing discipline as competitors in our market had aggressively extended duration or offered loan rates in terms that would not meet our ROE minimums. Our asset base lending group is gaining traction and our medical lending team is also building its pipeline. The compression in our net interest margin of six basis points in the quarter can be attributed to the drop in asset yields as rates remain historically low. As on-rates for loans are lower than current portfolio yields and originations are skewed towards adjustable rates or shorter initial terms, we anticipate that margin expansion will be difficult to obtain in the near term. Our balance sheet size remains static compared with year end as we utilize cash flows from deposit growth and investments to fund loan growth and reduce overnight borrowing positions. Our business advantage checking product is being well received in our new markets and core deposits now represent over 86% of total deposits. Non-interest income of 10.3 million exceeded the same period last year by 27% due to prepayment fees on commercial loans and an increase in wealth management income from improved client pricing as well as growth in assets under administration as a result of the October acquisition from Suffolk County National Bank. On April 1, 2015 Beacon Trust closed its acquisition of the MDE Group; we look forward to the successful integration of the staff and clients of MDE which gives us approximately 2.5 billion in assets under management and more than 900 client relationships. Tom will go over into more detail of the non-interest expenses, but sufficed to say that the harsh winter had an impact on operating expenses along with increased compensation and benefit cost. Our new markets in Pennsylvania, western New Jersey are showing promise as we’ve an aided staff in the Lehigh Valley and Bucks County regions and are promoting our brand with relationship banking in those areas. We continue to review opportunities leverage our capital through accretive deals as smaller [indiscernible] struggle to cope under the weight of the owner is regulatory burdens in fly interest rate environment. Before turning over to Tom, I’d like to probably thank Jeff Shine and Jeff Corner our two retired directors for their guidance, leadership and dedication for the success for Provident, their efforts and professionalism will be missed by all of us who had the pleasure to work with them. Tom?
Tom Lyons: Thank you, Chris and good morning everyone. Our net income for the first quarter was $19.8 million compared with 21.2 million for the trailing quarter. Earnings per share were $0.32 compared with $0.34 for the trailing quarter. Net interest income decreased by $1.4 million to 62 million as the affect for the shorter count a quarter and 11 basis points decline it the average loan yield more than offset the benefit of 5.6% annualized increase in average long tax standing. Net interest margin decreased 6 basis points to 3.24% with 2 basis points to that decline attributable to the reduction in accretion of purchase accounting adjustments. The cost of interest bearing liabilities was unchanged versus the trailing quarter however the margin was aided by 7% annualized growth in average net interest bearing deposits. Therefore our total [indiscernible] decline 1 basis point to 0.25%. We provided $600,000 to loan losses this quarter compared with 1.3 million in the prior quarter as that quality metrics continue to improve. Non-performing loans decreased 3 million from the trailing quarter to 51 million or 0.83% of total loans. Net charge offs for the quarter decreased to 1.2 million or an annualized 8 basis points for the average loans. The average for loan losses for total loans decreased slightly 1% from 1.01% at December 31 however the allowance coverage of non-performing loans increased to 120%. Net interest income decreased $1.1 million compared to the trailing quarter as the increase is in loan prepayment fees and wealth management income were more than offset by reductions and gains on loan sales and lowest loan swap income. Net interest expense increased $1.1 million versus the trailing quarter to 43.1 million. Compensation and benefits increased 1.9 million reflecting annual merit increases increased incentive accruals and payroll taxes. [indiscernible] cost increased 876,000 versus the trailing quarter primarily due to slow [indiscernible] increased utilities cost attributable to hard winter weather. These increases were approximately offset by reductions in advertising and various other expense items. Our efficiency ratio was 60.1% and our annualized operating expenses average assets were 2.07% for the first quarter of 2015. Income tax expense was $8 million compared with 10 million for the trailing quarter and our effective tax rate decreased to 29.8% from 32%. The decrease in the effective rate was primarily result o the prior quarter recognition of the $639,000 right down of the per tax assets due to the apportionment of the income to Pennsylvania stemming from the Team Capital acquisition. We currently projected the effected tax rate for approximately 30% for the remainder 2015. That concludes our prepared remarks. We’d be happy to respond to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Mark Fitzgibbon of Sandler O'Neill Partners. Please go ahead.
Mark Fitzgibbon: Couple of questions related to the MDE acquisition as we think about it for the second quarter, I think in the past you had said that you expected wealth management income to slightly more than double as the result of the deal. So, if we used a sort of a run rate of little over $5 million for wealth management income, do you think we’d be in the ballpark?
Tom Lyons: Yes. I think it adds about 600,000 roughly to the bottom line per quarter, Mark.
Mark Fitzgibbon: But that’s – the income line though is you still think will be over 5 million.
Tom Lyons: I’m so sorry, its about revenue. Its about 2.5 million to 2.8 million per quarter additional.
Mark Fitzgibbon: Great. And then on the expense side what will be the expense run rate look like within MDE in there.
Tom Lyons: 7 million, seven operating expenses per quarter.
Mark Fitzgibbon: Okay great. And then next I wondered if you could sort of help us think about the provision in 2Q as loan demand picks up and looks like your pipeline is pretty good should we see provision level ramping back up a little bit.
Tom Lyons: I would expect around 90 basis points on new loan originations as kind of a rough guide as the [indiscernible] continue to improve, that’s really what drove the reduced provision versus the trailing quarter.
Mark Fitzgibbon: Ok and then what -- I wondered if you could share us what the average yield on your loan pipeline is right now?
Tom Lyons: About 352.
Mark Fitzgibbon: Okay and then lastly the -- I think in your comments Chris had said that you thought it'll be hard for the margin to expand, so I assume by that we should see a few basis points of continued decline in the [indiscernible]?
Chris Martin: Probably Mark. We've looked at -- certainly on origination volume has skewed more towards adjustable rate, I think we're about 52% of it being adjustable and I think that's kind of we're trying to keep that in mind being a little conservative and we could probably make more money by going to fix for longer term duration we figure, so being a little bit more flexible and ready for rates going up if they ever do is -- we're going to give up something to get something in the end.
Mark Fitzgibbon: And then just lastly from a strategic standpoint, are you seeing more M&A opportunities out in the marketplace?
Chris Martin: I would say there are opportunities. They are coming. I think the stress of this environment has got everybody kind of trying to figure out where they are going to go. I don’t think it's heating up to the level that everybody had anticipated though.
Mark Fitzgibbon: In terms of being ready to go over that $10 billion level, when do you feel like you will sort of be there from an infrastructure standpoint?
Chris Martin: Well, that all kind of hedges on if the organic growth of our company and balance sheet, it would take a lot longer than if we did another material acquisition, but we've already started the process. We've been working with regulators. We've spending a little bit of money on systems and so I think it’s the transition would be there if we move along and there is an opportunity to have a very accretive acquisition, then we would probably move that needle very quickly. So, it's not something, it's preordained.
Operator: The next question comes from Collyn Gilbert of KBW. Please go ahead.
Collyn Gilbert : Could we just drill into some of the dynamics of the loan growth this quarter and how you're sort of seeing that trend through the year? You know it’s the drop off this quarter was timing related , is it -- I know you sort of said a couple of things in your opening comments, Chris, but just trying to get a better handle as to how you guys are thinking about the broader lending environment.
Chris Martin: Well, certainly timing also. We did see a lot of payoffs in the first quarter and this was not really related to competitive factors necessarily, but a lot of our clients are monetizing gains on properties that they are selling. Now, there might be 1031 exchanges going on at the same time, but in our talking to clients that have been paying off, they just saw the opportunity to be too good to pass up. And these are people that have been in the business for 25-30 years. So they know when the market's getting a little frothy and/or there are opportunities for them to sell now and buy later. So some of our payoffs were related to that. And then we're also dealing with the agencies season the light companies coming back into the space for larger credits and being able to offer -- one of our clients got 4% 30 year on a property and that's something we certainly can't do, but that was from the light company. So they opted to stay with us for little bit longer, this is a construction that just got finished up, so it's going to earn. So we're dealing with a little bit of that going on and we always said the -- that the quality of our portfolio being a lot of A borrowers they are also very repayable by very aggressive terms out there. So we really can't [indiscernible] on it, but it's tough for us to go ahead and try to compete on some of those.
Tom Lyons: I think I would just add I'd expect to see some acceleration in loan originations, loan growth in the second quarter given the strength of the pipeline. The pipeline is about a 100 million or so that are than it was in the tailing quarter and it's pretty well diversified among the various lending categories.
Collyn Gilbert : Okay. Can you tight knot up to percentage execution you're thinking for the year, for the full year in ’15?
Tom Lyons: I think we're still in a mid single digit kind of range.
Collyn Gilbert: Okay. And any anticipated sort of mixed shift within that. I mean given some of the things you've described Chris and where the incremental demand is coming. Any sort of shift in where that growth will come.
Tom Lyons: Well, I think that the -- our multi-family originations originations probably would slow up a little bit being in such a competitive market, we see more people coming into that space. As you know we do mostly New Jersey, Pennsylvania not in the boroughs but on the other hand I think our – the market’s done well in our middle market space, the asset base lending group again it’s small but it’s moving in the right direction. And the residential has picked up as of late with the – we hired a few people to do originations and that volumes picked up a little also, so I think when you look at a pie-chart it definitely has a lot of diversification from all fronts. But certainly shortening up on the duration and they’re trying to keep it more adjustable or shorter resets.
Collyn Gilbert: And then just do you think just to the [indiscernible] what – I know swap income was big last quarter, but just trying to understand the drop off kind of on a linked quarter basis.
Tom Lyons: Primarily two categories Collyn. Gains on loan sales were down about 640,000 and the profit around swaps was about 230,000 less than the trailing quarter.
Collyn Gilbert: 230,000 less you said.
Tom Lyons: Yes.
Collyn Gilbert: Okay.
Tom Lyons: The more routine core fee category has pretty much performed as expected in line it was really just volatile items that showed the drop.
Collyn Gilbert: And the 640 drop and I apologize – with that that could tie to mortgage banking or there was something else that you did in the fourth quarter?
Tom Lyons: Primarily gains on SBA loan sales, so sometimes you can have a significant a gain on a one-off kind of item in that pool.
Collyn Gilbert: So that 340,000 that number seems like a pretty real number than in that we saw this quarter on the other line.
Tom Lyons: I’m sorry the….
Collyn Gilbert: Or some of that’s that you’re talking about in the service charge line. You know what there’s, I’ll circle back with you..
Tom Lyons: Okay.
Collyn Gilbert: Sorry about that. And then just one question. Just on the expense outlook, kind of where you sort of see that migrating on a quarterly basis from here?
Tom Lyons: I think inclusive of the operating expenses related to MDE we’re probably in about 45 million for the next quarter. That excludes a little bit of transaction related charges that we’ll see. And then I think you’ll see drop off a little bit in Q3 as certain of the payroll tax changes roll through the rest of the way.
Operator: As there are no other questions, the conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.